Masakazu Negoro: I will talk about the results of 2024 and the forecast for 2025. There are a lot of materials today to cover, so it may take a little longer than 20 minutes. Please forgive me for that. First, please take a look at Page 4. These are the key highlights. We have been monitoring the 3 points listed up here as key points throughout the year. In particular, the top 2 points contributed greatly. In other words, the recovery of profits centered on the promotion of higher added value products and the improvement of brand loyalty and the improvement of competitiveness through cost reductions, while maintaining quality and performance, both represented by the reformed earning power and the structural reforms contributed significantly, and we were able to take a strong step towards achieving the K27 targets beyond expectations. I believe this reformed earning power will further advance Kao's strength of Yoki-Monozukuri. In 2024, we worked on earnings power reform as part of our structural reforms. But from 2025 onwards, we will enter a new stage and will mainly focus on reformed earning power and make it a core engine that will accelerate global growth, while also sustainably increasing it. In 2025, we'll position the year as one in which we will steadily continue to grow our profits, while also establishing a solid foundation for global growth. In 2025, we also expect the Cosmetics Business to contribute to profits, partly due to improvements in China. As you can see in this table, we're able to achieve results that exceeded the upwardly revised forecast announced at the first half earnings briefing last year in all aspects, including capital efficiency. We believe probability of achieving K27 has increased as a result of the ongoing reforms in earning power, which have served as a driving force behind this and acceleration of growth. I have prepared a graph showing the progress of K27 on Page 5. Please take a look at the graph on the right. Last year, we indicated that the effect of structural reforms would be about ¥30 billion and that it will be level off after 2025. But we have been able to get the reform of our earning power on track at the pace faster than planned and we believe that we can continue to do so. At this point, we see that there is at least ¥40 billion in this effect and will steadily implement it. Therefore, we believe that K27 is achievable even after absorbing the downward revision of growth in the Chinese cosmetics market. Page 7. Net sales increased by 6.3% to ¥1,628.4 billion. Excluding the effect of ForEx, sales increased by 3.3%. The gross margin improved by 1.7 percentage points year-on-year to 39.2%, but the improvement rate, excluding the impact of provision for product returns due to cosmetics brand consolidation posted at the end of 2023 was 1.9 percentage points. The operating income was ¥146.6 billion, up ¥31.9 billion year-on-year and operating margin improved to 9.0%. The net income attributable to owners of the parent was ¥107.8 billion, up 25.3% or ¥21.8 billion year-on-year. Earnings per share were ¥231.94 per share, a significant increase of 25.4% year-on-year. The year-end dividend will be ¥76 per share, subject to approval at the General Meeting of Shareholders, bringing the annual dividend to ¥152 per share, up ¥2 and the 35th consecutive year of dividend increase. Please turn to Page 9. The key points of fiscal year 2024 results. Sales increased by 3.3% and operating income increased by ¥31.9 billion, but there are 3 main points to note. First, the Hygiene and Living Care business and Chemical business contributed the most to profit growth. In particular, in Fabric & Home Care and Sanitary, we succeeded in increasing customer loyalty and improving competitiveness through reformed earning power. Moreover, in the Chemical business, in addition to the start-up of the tertiary amine facility that was expanded in Europe, the semiconductor and electronics materials fields, which are high value-added fields, grew. This contributed to profit growth. Fabric & Home Care and Health and Beauty Care contributed to sales growth. In addition, we reduced distribution inventory for cosmetics in response to the deterioration of the market condition in China. The details of the figures will be explained in the following slides. Page 10, please. Overall, sales in the Consumer Products business increased by 2.4%. By region, in Japan, Fabric & Home Care grew strongly and Health and Beauty Care business also performed well, resulting in a total growth of 5.3%. Europe grew by 8.4% with Hair Care performing strongly. The Americas grew by 2%. In Asia, sales fell by 9.7% due to a slowdown in China, particularly in cosmetics. In the Chemical business, sales grew in all regions, helped by price revisions in the fourth quarter. Page 11, please. I will now explain the results by segment. In Hygiene and Living Care, the reformed earning power made a significant contribution, and we achieved an increase in profit of ¥33.9 billion. In Fabric & Home Care, profit increased by ¥17.4 billion, thanks to price revisions, as well as thorough efforts to enhance added value and customer loyalty. The operating margin improved by 3.6 percentage points to 18.2%. The Sanitary implemented reforms in earning power from multiple perspectives and through a scrum-based management approach and price revisions. As a result, we're able to achieve profitability for the year even when excluding the ¥4.3 billion gain on the transfer of the Pet Care business. In Health and Beauty Care, a 4% increase in sales volume contributed to higher sales and we laid the foundations for future growth. Operating income was ¥34.4 billion, down ¥8.4 billion year-on-year due to ¥3.4 billion in structural reforms cost for the hair salon business in Europe and the US and the proactive marketing investments, but we plan to use this as a springboard for growth from 2025 onwards. In the Cosmetics business, sales in Asia fell significantly due to optimization of distribution inventories in China, but this was offset by growth in Japan and Europe. And on a disclosure basis, sales were flat year-on-year. Excluding one-off factors such as the impact of the China business and provision for product returns due to cosmetics brand consolidation last year, the growth rate was about 4%. In terms of operating income, due to the decline in profits in China, there was an operating loss of JPY 3.7 billion, down JPY 9 billion year-on-year, but this was in line with the plan. We will use this to drive growth and profit contributions in 2025. In Chemicals, by enhancing earnings power through high value-added products and volume growth while achieving global growth, we improved operating margin by 1.8 percentage points and operating income by JPY 9.9 billion, thus posting a record high. Next, Page 14. This is an analysis of the difference of plus JPY 31.9 billion between the core operating income in 2023 and operating income in 2024. Overall, the effect of structural reforms worth JPY 28 billion contributed greatly. But of this, just under 80% was due to the effect of promotion of high value-added products as well as price revisions through improvement of brand loyalty. And in Household and Personal Care, price revisions were implemented while increasing sales volume, mainly in Japan. Gross profit in chemicals improved by JPY 12.5 billion. About half of other cost of sales is attributed to structural reform and the remaining half to the cost competitiveness improvement. Although cost competitive improvement is not included in the JPY 28 billion in structural reform effects, we will monitor them as part of our reformed earnings power going forward. In cosmetics, profits decreased by JPY 8 billion due to a decrease in sales volume as a result of the impact of optimizing distribution inventories in China. Regarding SG&A expenses, 50% is derived from increased marketing expenses, 20% from expenses associated with Bondi Sands joining Kao Group and 30% from rise in other personnel expenses. Impact of currency translation, other income and expenses includes currency translation of positive JPY 3 billion, gain on business transfer of JPY 10.6 billion and structural reform expenses in Europe and US of JPY 3.4 billion. Please turn to Page 15. Through progress of earning power reforms, that is enacting price revisions based on the promotion of high value-added products and increased brand loyalty and improving cost competitiveness, we were able to make progress that exceeded our plan, particularly in Japan. Gross margin improved from 37.3% in fiscal year 2023 to 39.2% in fiscal year 2024, an improvement of 1.9 percentage point. Of this, the improvement in the gross margin for the Consumer Products business was about 2 percentage points. Therefore, as explained in the previous page, the effect of the structural reform in fiscal 2024 was JPY 28 billion, but the effect of the earnings power reform that we will strengthen in the future was JPY 25 billion, which is 2% times the Consumer Products business sales. In order to achieve K27, we will aim to improve the gross margin in the Consumer Products business by at least 1% each year from 2025 onwards. Page 17. We are forecasting as follows; net sales of ¥1.67 trillion, like-for-like growth of 3.1%, operating income of ¥160 billion, up ¥13.4 billion year-on-year. Net income attributable to owners of the parent of ¥116 billion, up ¥8.2 billion year-on-year. Basic core earnings per share of ¥249.7 per share with a growth rate of 7.7%. We plan to increase the dividend by ¥2. Please turn to page 18. In order to accelerate growth from fiscal 2025 onwards through further strengthening of global alliances, strengthening of collaboration between business divisions and co-creation with external companies, we have established a new business connected business. Please see the final page of the presentation materials for details. In terms of sales forecast, we are anticipating sales growth in the Health, Beauty Care business and in cosmetics business, where we have completed the optimization of distribution inventory in China. Please turn to page 19. This slide explains the difference of ¥13.4 billion in operating income between the ¥146.6 billion in 2024 and the ¥160 billion forecast for 2025. In fiscal year 2024, the figure included a onetime profit of ¥7.2 billion from gain on the transfer of business and structural reforms. So the like-for-like improvement is expected to be around ¥20 billion. First, we are expecting to see an effect of about ¥13 billion from earning power reforms, which will consist of a ¥4 billion difference between sales prices and raw material price increases and improvement in cost competitiveness of about ¥9 billion included in other cost of sales. In other words, we are planning to achieve this by improving the gross margin of the Global Consumer Care business by 1%. We expect raw material costs to deteriorate by ¥10 billion due to factors such as rising fats and oil prices and packaging material prices linked to inflation, we expect to absorb this through higher sales prices enabled partly by higher value-added products, and we expect a net increase of ¥4 billion. We expect volume to increase by 3.1% like-for-like, which will add ¥20 billion. In the Cosmetics business, we expect to see a ¥7 billion increase in the earnings due to the resolution of the distribution inventory problem in China in 2024, as well as global growth. While SG&A expenses are expected to increase by ¥19 billion, we will invest about ¥10 billion in marketing and the remaining ¥9 billion will be increased labor costs and other expenses. In Chemical business, we expect to see a ¥4 billion increase in gross margin from the fourth quarter onwards as we achieve both growth and profitability through the start-up of our tertiary amine facility in the United States and improvement in our product mix with higher ratio of high value-added products. Please turn to page 20. The price of raw materials for fats and oils is expected to rise, particularly in the first half of the year. In addition, we expect an increase of about ¥10 billion per year due to an increase in personnel expenses mainly for packaging materials. Page 21. We will continue to strengthen our ROIC management. While we will improve the gross margin by at least 1 percentage point every year in the Global Consumer Products business, we will also strengthen management of invested capital to improve capital efficiency. In addition to reducing inventory, which will lead to a reduction in the cost of capital, we will control capital investment, excluding strategic investments that are necessary. The indicators in this denominator show actual results. Please turn to Page 22. This chart shows the measures we will take to change the manufacturing system throughout the supply chain, as we continue to promote earning power reforms. By increasing brand loyalty, the value lifespan of products will be extended and the number of development SKUs can be reduced accordingly. That is a shift from quality to quality for Yoki-Monozukuri. On the other hand, by reducing the number of development SKUs and improving the speed of product development through a scrum type system, it will be possible to create management resources for the next stages of growth. This may be stating the obvious, but the sanitary business, which has adopted and put this idea into practice, has achieved significant improvement of over ¥10 billion per year. So we plan to apply this approach to other businesses going forward. Please turn to Page 23. The results of the earning power reforms that I have explained are shown in this table, which breaks down the improvement rate into three areas. In the stable earnings area and the business transformation area in 2024, we were able to have ROIC improvement substantially exceeding the initial plan. In the business transformation area, the multifaceted initiatives in the sanitary business shown in the previous page contributed and in the stable earning area, the higher added value and brand loyalty contributed greatly. In addition, at present, the stable earnings area is significantly exceeding the ROIC target of 20% set in K27. If this area exceeds 30%, the probability of achieving the company-wide ROIC target of 11% will increase even further. Of course, we will continue to focus on expanding the growth driver area. The graph on the right shows the changes from 2023 to 2024 and the direction we are aiming for in the three areas, with ROIC on the horizontal axis and sales growth on the vertical axis, while steadily improving ROIC in the stable earnings area and business transformation area, we will continue to focus on global growth in the growth driver area and build up our track record. Please turn to Page 24. As I explained at the beginning, we will continue to implement the earning power reforms in fiscal 2025, and we will position this year as one for continuing to steadily grow earnings and for building a solid foundation for global growth. The basic strategies for the three areas described here are consistent with the direction shown in the previous section. In the area of stable earnings, we will implement measures to further enhance brand loyalty in Fabric Home Care business and reinforce our number one position in this field. In the personal health field, we will also offer new value. In the area of business transformation, we will narrow down our targets and strengthen our ability to offer core products and aim to further improve ROIC. In hair care, we will work to expand sales of inbA high premium products while strengthening offerings for these hair color in Asia to increase profitability. Also, in the salon business, we will maximize synergies by applying the Oibay strategy to GOLDWELL. In the skin care and cosmetics, which are in the growth driver areas, we will make maximum use of DX-based marketing to enhance our global presence. President Hasebe will explain this in more detail later. In the Chemical business, we are about to start up a new tertiary amine plant in the United States for growth markets, and we will further expand our business in the semiconductor field. Please turn to page 25. To summarize, this is a graph showing the results for 2024 and the progress towards K27 that we have reported today. I believe that the core engine that will continuously drive forward, the earning power reforms has started to run. I think that based on this power, we have a clear direction for achieving K27 while covering China and other risks. After this, President Hasebe will explain that strategy in more detail. That concludes my explanation. Thank you very much.
Unidentified Company Representative: Thank you, Mr. Negoro. Next, Mr. Hasebe will explain the progress of K27. Mr. Hase, please.
Yoshihiro Hasebe: Well, first of all, thank you very much for taking time to attend today's meeting. I will now explain the progress of the medium-term plan K27, including the introduction of strategic initiatives and mechanisms for K27 as well as the results of 2024. First, please take a look at Page 27. First of all, as Negoro mentioned earlier, the results of 2024 are progressing steadily in all areas, including ROIC, EVA, operating income and sales outside Japan compared to the initial plan towards K27. The 2025 plan has been set as shown here in numerical targets based on the geopolitical situation going forward. As K27 basic policy is being implemented with a focus on the four frameworks of the strategies to guide it. We have shared this with you before. But this time, I would like to touch on the basic activities and distinctive mechanisms of these frameworks. Next page, please. From 2022, in order to clarify our structural reform and growth strategies, we have been explaining each of the businesses by dividing them into three categories: stable earnings, growth drivers and business transformation. Negoro just explained this in detail earlier. Today, I would like to explain about K27 in line with these three areas. Next page, please. First, I will explain the progress of the Fabric and Home Care business, which is the core of the stable earnings area. The priority for businesses in this area is to expand leadership position in market shares and profits. As for progress in 2024, we have made significant progress in market shares for our core brands, for which we have picked four here on the slide. While implementing strategic price increases, we increased sales and market shares and as a result, our earning power has recovered to match the 20% in operating margin recorded three years before. We will continue to run businesses in this area, aiming for further stable earnings. Next page, please. Now, let me explain the background to why we were able to so quickly achieve such improvements in capital efficiency and profitability. At Kao, we operate company-wide optimized business simulations based on the latest data. We manage the management indicators for each business, sales, functional department separately by brand, item, and chain in our data lake, and we carry out activities in an integrated manner designed to maximize business results, such as maximizing sales, profits, and market shares and efficiency in inventories and SKUs. This shows that we handle price precise data in all areas from downstream to upstream and that we have been able to make this data available to everyone as a value for each department, while managing it in a centralized manner. This is what it's called data-driven management. We also use a system called Digital Clairvoyance, which can predict consumer preferences to incorporate the function to learn customer loyalty into the system. As you can see from the results shown at the top, this has had the greatest effect on reducing inventories and SKUs, improving ROIC, and raising prices strategically. In the future, we will be using AI for all of these mechanisms. We believe that even greater results can be expected. Next page, please. Next, I would like to give you updates on our core engine of Yoki-Monozukuri. This is a part of the many people have asked about. They wonder if Kao can keep raising prices and generate profits. To answer questions like these, I would like to show you the activities that we are engaged in internally. As you can see on the left, at Kao, we are constantly improving our high-performance technologies, while promoting ecology in terms of raw material selection and formulation optimization. This means that we can stop using certain raw materials no longer required by using different raw materials, and we can reduce the total mass balance. This technology, which is also known as energy compacting, is often used in new products at first. And as shown at the top, we aim to create a new playing field by raising the unit price. On the other hand, in existing and improved products, this can contribute to maintaining or improving performance even if the cost and quantity are reduced. This is not a mere improvement. We always seek technologies with double standards that can work both for new and improved products. At Kao, we are continuously increasing our earning power by increasing the ratios of innovation and effectiveness. With the brands shown on the right, we have already implemented this. For our flagship brands such as Attack and Biore, we are proceeding with this approach. In addition, as described at the bottom, we are actively applying technologies that can be used for global expansion to growing brands in a planned way and constantly working to refine our technologies around the world and build the next core technology principles by running this cycle. We believe that this is a mechanism to ensure a sustainably earning model will never cease to operate, and we are now at the stage where we can use AI to accelerate this process. Please turn to the next page. Next, I will talk about the progress made in 2024 in the area of business transformation. We have completed transfers of businesses that Kao is not the best owner of. In the Hair Care business, we have made a good entry into the high premium market, which we had not entered in Japan, producing results that were more than or about double our initial expectations. Global growth in the hair care business for salons is also progressing smoothly centered on Oribe. In the Sanitary business, as Negoro mentioned earlier, we have undergone structural reform and are steadily making progress with transformation to make it a stable earnings business by significantly reviewing our business strategies. Next page, please. Now I'll report on progress in the area of growth drivers. I will stay on the topic of growth drivers for a little while. As for growth rates over the last 3 years, the CAGR for skin protection was plus 22.9% growth outside Japan in chemicals, plus 11.6% and cosmetics outside of Japan, excluding China, was plus 12.1%, and this momentum is accelerating. Next page, please. Here, I would like to explain Kao's global growth strategies or Global Sharp Top strategy. I have explained this several times, but I felt a bit frustrated with myself as I have failed to get my message across fully. So I'd like to take some time to explain it again. I'd like to explain them in three parts: global, sharp and top. Sharp indicates loyalty ratio and profitability based on exclusive uniqueness. We estimate the market presence that underlie this with the share of target markets. This is an indicator that shows whether we are at the top or how close we are to the top. The idea is to apply this globally to expand sales size. The idea of global sharp top is linked to the most important and easily understood indicators of sales, profitability and market share. Next page. I think this exercise is easiest to understand for the chemical business. In the Chemical business, various businesses are clearly positioned in the 3 categorization of Global Sharp and Top. This is so that we may examine how to proceed with each business. We are examining what factors are lacking in the current situation and what we should position as a strategy for growth. There are many businesses that aim for Global Sharp Top, but we are aiming to roll out strategies that are suited to each category according to the characteristics of the business. Now, let's apply this to the Consumer Care business. Of course, the indicators of sales profitability and market share are the same. However, in B2C businesses, we must particularly take into account the perspective of new needs that arise from changing markets. I'd like to talk about this using the 3C analysis, which is often used. What we must focus on going forward are the social issues that are growing ever more serious. This is because they will definitely expand globally. The main policy is to provide the social significance to the new needs of customers that are created by these issues. Where everyone else is standing still, we aggressively go in with our exclusive uniqueness, allowing us to become the top runner. The needs will be much higher than they are now. Using these issues as a starting point, Kao will polish its unique strength. Next page. Under this approach, a very serious issue of great importance is global warming. It is not an already existing issue, but new issues that will be created by global warming. In the skin protection business, we will continue to expand by selecting areas where needs are expanding with a focus on UV care at an even higher level and self-tanning products that allow you to get a town without being exposed to the sun. We are steadily growing in 2024 and will target ¥74 billion for K27. And Kao has monitoring technology that makes it possible to visualize quantitative values. This includes visualization of so-called RNA and UV, as well as imaging of surface gloss. If this evidence-based marketing becomes more ingrained, we will be able to offer solutions that leverage our unique strengths and conduct monitoring that reveals these solutions like a mirror. I think this will be very effective for our global operations. I believe that this is a business that can aim for ¥100 billion by 2030. Please turn to the next page. In expanding our business in this way, what we are focusing on is DX of marketing. For new brands and products, we are conducting big data analysis of real market data in exclusive chains and areas and pursuing success patterns. This is because if you do everything in one direction, you will end up going to a large market without learning. This is the approach of first acquiring a Sharp Top success pattern and effectively expanding it. You may think why not do it all at once, but in terms of making sure, you achieve big results with certainty and increase the precision of the process. This is a very important marketing style. Then you apply this pattern to other brands to respond to changing markets. We show the Hair Care example here. The reason why we were able to quickly apply the experience from melt to the ANSWER is because we are driving this cycle at high speed. We would like to aggressively incorporate this into our major beauty care brands overseas going forward. This model has already produced results for various brands as a result of marketing innovation using digital technology. Those would be Kate, Bioré UV, High Premium Hair Care, Oribe, Molton Brown and Sensai. As I mentioned at last year's DX presentation, through high-speed driving of marketing DX, we continue to accumulate a great deal of experience and expand our field of battle. Please turn to the next page. Currently, we are using this digital marketing and data-driven management, which I mentioned earlier, to promote reform and growth strategies for our cosmetics business. First, we are firmly committed to achieving growth for the six brands we have selected as our core brands. These six brands have sharp focus and the potential to become top brands. Last year, we received many of the top cosmetics awards in Japan. However, we will not be content with domestic success and will accelerate the development of these brands as global brands in the future. Please turn to the next page. Finally, this is the progress of building businesses through co-creation with partners. This is the fourth of the four frameworks. Co-creation with highly specialized companies help our global expansion that leverages our assets. Pioneering activities for automatic dispensers, a future standard feature of washing machines and co-creation with beauty appliance technologies as well as joint development for synergy with the skin protection business will be pursued in a big way, and we already had progress in 2024. In addition, in order to expand our business in Asia, it will be essential to expand not just our Monozukuri but also our chain. We are aiming for a big game changer with co-creation with a major player, CP Group, which will become a large-scale global business foundation. This is the last page. This is a key highlight that Negoro spoke about earlier. I have once again explained the mechanisms of the earning power reforms and the details of the further evolution of Yoki Monozukuri. I feel that Kao's management strategy is starting to work well on a global scale. However, we should expect to see major social changes in 2025, as we did up to 2024. With this in mind, we have set these figures as our targets for 2025. This concludes my explanation. Thank you for listening.
End of Q&A: